Operator: Good day, ladies and gentlemen, and welcome to The Cooper Companies, Inc. Q3 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference Kim Duncan, Vice President, Investor Relations. Ma’am, you may begin.
Kim Duncan: Good afternoon. And welcome to The Cooper Companies’ third quarter 2015 earnings conference call. I’m Kim Duncan, Vice President of Investor Relations. And joining me on today’s call are Bob Weiss, Chief Executive Officer; Greg Matz, Chief Financial Officer; and Al White, Chief Strategy Officer. Before we get started, I’d like to remind you that this conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, including all revenue and earnings per share guidance and other statements regarding anticipated results of operations, market or regulatory conditions, and integration of any acquisitions or their failure to achieve anticipated benefits. Forward-looking statements depend on assumptions, data or methods that may be incorrect or imprecise and are subject to risks and uncertainties. Events that could cause our actual results and future actions of the company to differ materially from those described in the forward-looking statements are set forth under the caption Forward-Looking Statements in today’s earnings release and are described in our SEC filings, including the business section of Coopers Annual Report on Form 10-K. These are publicly available and on request from the company’s Investor Relations department. Now, before I turn the call over to Bob, let me comment on the agenda for the call. Bob will begin by providing highlights on the quarter, followed by Greg who will then discuss the third quarter financial results. We will keep the formal presentation to roughly 30 minutes, and then open up the call for questions. We expect the call to last approximately 1 hour. We request that anyone asking questions, please limit yourself to one question. Should you have any additional questions, please call our investor line at 925-460-3663 or email ir@cooperco.com. As a reminder, this call is being webcast and a copy of the earnings release is available through the Investor Relations section of The Cooper Companies’ website. And with that, I’ll turn the call over to Bob for his opening remarks.
Robert Weiss: Thank you, Kim, and good afternoon, everyone. Welcome to the third quarter conference call. Let me start by highlighting three key points. First, we had another strong quarter in CooperVision and gained significant market share. For calendar Q2, we grew 9% against the market at 4%. Our market share gains were across-the-board including single-use and non-single-use lenses and in every geography, the Americas, EMEA and Asia-Pacific. Our momentum is very strong and we expect it to continue. Second, the rollout of our daily silicone hydrogel family of products comprising clariti and MyDay continues to do very well. Sales this quarter were $39 million and pro forma was 51%. clariti continues to do well as the mass-market offering, and MyDay is looking good as a premium offering. The only negatives we were seeing are a lack of pipeline fill and general sluggishness in the Americas market, which only grew 1% last calendar quarter, the slowest the Americas has grown in six years. This is leading us to be more conservative about our fourth quarter estimates. So we’re now forecasting daily silicone sales of $52 million to $57 million in the fourth quarter or $150 million to $155 million for the year. From a timing perspective, July was a good month and August was a good start to Q4. Third, CooperSurgical posted another tough quarter, down 4% in constant currency. Even with its recent challenges, I still believe strongly that the global women’s healthcare market and its – in the global healthcare market and its long-term potential. As such, I have decided to increase our focus on women’s healthcare by having Al White assume management of the business in addition to his current corporate responsibilities. With Al’s direct involvement our recent acquisition of Reprogenetics and the launch of several new products I see a much brighter fiscal 2016 for CooperSurgical. With Al’s change, Dan McBride will remain in his role, running CooperVision, while assuming additional responsibilities including CooperVision’s business development and more involvement in our corporate activities including investor relations. I believe these changes will strengthen our organization and help us achieve our long-term objectives. I’ll expand on these takeaways as I walk through the quarter’s performance. But I want to confirm, we remain very optimistic about the underlying fundamentals of our business and believe we are well positioned to deliver solid results going forward. On a consolidated basis, Q3 revenue grew 7% year-over-year to $462 million and non-GAAP earnings per share of $1.97. Regarding earnings, we were hurt by currency both within operations and below the line, but our tax rate came in better than we expected. So overall, the quarter met our expectations. CooperVision posted revenues of $386 million, up 10% year-over-year with pro forma growth of 7% or 8% excluding solutions. We had a strong quarter in Asia Pacific and EMEA, but the Americas were softer than we would have liked. I agree with some who have said recently that the market is being negatively impacted by channel inventory contraction in UPP or Unilateral Pricing Policy. This is in spite of our new fit data, which continues to be solid. For CooperVision, we didn’t really see any channel inventory contraction, but we did experience – we did not experience any expansion either even with this success of our clariti product. Overall, this feels like an anomaly and we should see the market and CooperVision return to better growth, supported by a shift to daily silicone hydrogel lenses in the near future. Looking at silicones, our silicone hydrogel family of products delivered strong growth this quarter up 15% or 17% pro forma to $215 million. In addition to strong daily growth, our monthly Biofinity family grew 12%, and our Two-Week Avaira family grew 11%, both pro forma. We remain under indexed against the market in both the two-week and monthly silicone space and silicones represent roughly 77% of the market and for us 70%. So we anticipate growing our two-week and monthly silicones nicely for many years. Regarding one day silicone hydrogel, sales of clariti and MyDay combined were $39 million equating to pro forma growth of slightly over 50% for each, both was driven by our strong product portfolio, which includes the two-tier approach to the daily silicone market with clarity positioned as our mass-market offering and MyDay as our premium offering. Remember, the contact lens market is being driven by dailies growth and we strongly believe, we have the best product offering in the space, as the only company with premium in mass-market lenses, including a full portfolio of sphere, toric, and multifocal lenses. Regarding clariti, we’ve made great progress on our manufacturing build-out in our – in excellent shape to meet demand to the end of fiscal year and into next. From a launch perspective, we’re in good shape in Europe and that business continues to grow nicely. In the United States, we’ve made significant progress distributing fitting sets and we’re now aggressively selling product as opposed to dealing with the administrative task of getting fitting sets out to the doctors. Regarding MyDay, sales are still ramping in Europe and we’re beginning – we’ve begun selling lenses in the U.S. with very positive early feedback. Similar to Europe, our U.S. launch is on a branded and private label basis. Regarding capacity, we’re continuing to sell everything we can make and we’re bringing on additional lines to help meet the demand. As anticipated, MyDay is fitting perfectly into the high end segment of the daily silicone market in Europe and in the U.S. Our specialty business remained strong this quarter with torics up 7% and multifocals up 12%, both on a pro forma basis. We are the global market leader in specialty lenses and we’re taking market share. Regarding Proclear, sales of this hydrogel product line were down 1% pro forma, driven by softness in our daily – in our non-daily Proclear product lines. On a regional basis, the Americas were up 4% pro forma, led by Biofinity and clariti. Clariti was still very small in Q3, but we anticipate our U.S. growth will accelerate as we roll out – as the roll out progresses. Europe posted a solid quarter of 9% pro forma. I continue to be impressed by that team as they’re posting strong results, while completing the Sauflon integration activity. Meanwhile, Asia Pacific was up 12% pro forma with strong growth in the number of markets. Our Sauflon integration activity – on Sauflon integration activity, we integrated several Sauflon distribution centers this past quarter, and we are in good shape to finish all integration activity impacting operating expenses shortly. Regarding manufacturing activity, which includes start-up costs for our new Costa Rica and UK facility and rightsizing of certain manufacturing activity due to Sauflon, we anticipate finalizing remaining decision shortly. From an accounting perspective, we expect to incur certain charges associated with this work throughout fiscal 2016, and we’ll highlight these items as they occur. It’s worth noting there is nothing unexpected, just work that needs to be completed as we incorporate the manufacturing benefits we’re receiving from the Sauflon acquisition. Additionally, on manufacturing, remember that the clariti lines costs roughly one-third our equivalent lines, they are received in one-half the time, and they have better flexibility around shifting production from one product to another. A large reason for this is the material formulation which provides the ability to produce silicone lenses without alcohol. We’ll be incorporating these advantages into our manufacturing processes over time, and it will reduce CapEx while also yielding a lower cost per unit. We have also been successful in incorporating CooperVision’s high-volume manufacturing expertise into Sauflon’s manufacturing base. I believe this will result CooperVision’s gross margins strengthening in the back-half of next year as the manufacturing positives work their way through the P&L. In particular, I believe we’ll see clariti’s gross margin be accretive to the company’s gross margins as we exit 2016. Now, let me comment on the overall contact lens marketing in the calendar second quarter. Overall, the market was up 4% and CooperVision was up 9%. Asia-Pacific was up 11%, while CooperVision was up 16%. The Americas grew 1% with CooperVision up 8%, and in EMEA the market grew 2% and we grew 8%. If we look at the market on a modality basis, the single-use market continued to drive growth up 13%, while we grew 16%. Non single-use lenses declined 2%, while we grew 6%. As you can tell, our growth was strong and we continue taking market share in all regions of the world and in all modalities with our strong product portfolio. In general, when I look at the market, I expect it to grow 4% to 6% going forward. Having said that, the Americas has been a drag. As I mentioned earlier, there have been some commentary about channel inventory and the impact of UPP and I’m not going to disagree with that. In spite of that, CooperVision numbers have been strong. But I’m sure there is some negative impact from the market softness. Regarding UPP, as many of you are aware, there’s a lot of illegal activity around UPP, so hopefully that gets resolved shortly and we get back to business as usual. Overall, the market should be fairly stable going forward with dailies continuing to be the growth driver. And needless to say, I believe we’ll continue taking market share for the foreseeable future, led by Biofinity and our strong daily portfolio. Moving to CooperSurgical, this was a challenging quarter. On the fertility side, we continued making progress by growing disposable products and rationalizing lower margin capital equipment sales. Roughly, two-thirds of that business is outside the U.S., so currency clearly impacted results with fertility down 11%, but up 1% in constant currency. Meanwhile, our office and surgical business was down 6%. As we discussed on our last earnings call, the slowdown in certain products – or procedures in patient activity due to noise associated with mesh slings and morcellation is hurting the overall marketplace. We’re not directly involved in these areas, but this is impacting patient visits and surgical activity, thus impacting several of our products. Based on this, I believe another challenging quarter in Q4, but I do believe this is a temporary matter. When you look at our current product launches, including the EndoSee Hysteroscope we acquired last year, our acquisition of Reprogenetics and now Al’s direct involvement, I’m optimistic 2016 will be a much better year for CooperSurgical. Now, let me touch on guidance. Our expectations for the fiscal fourth quarter are for consolidated sales of $467 million to $484 million, including $385 million to $400 million for CooperVision, representing a 9% to 13% pro forma growth, and a $82 million to $84 million for CooperSurgical which includes $5 million from our recent acquisition of Reprogenetics. We’re forecasting a strengthening in gross margins to around 64% and this supports non-GAAP earnings per share of $2.07 to $2.17. Greg will go through the details, but let me say our full-year constant currency non-GAAP guidance is 27% to 29% growth, which is very strong. Given we still – we’re still working through budgets and there’s significant currency volatility, we won’t be providing detail fiscal 2016 guidance until our October, I’m sorry, our December earnings call. The only direction will give is that we’re targeting non-GAAP earnings per share growth in the low to mid-teens for next year. From a longer-term perspective, we are targeting operating margins over 26% in 2018. Regarding strategy, we’re continuing our successful strategy, which I frequently articulated in the past. This includes investing in our businesses to take market share by expanding geographically aggressively rolling our products and investing in emerging markets. We do all this while remaining keenly focused on delivering solid earnings per share and cash flow, and we remain focused on delivering strong shareholder returns. In summary, before I turn it over to Greg, let me say the remainder of the year should be a solid and 2016 should be a really good year for us. Our profit margins are solid. Our cash flow generation is strong, and I remain bullish on future. With that, let me express my appreciation to our employees, our number one asset. Their hard work and dedication to creating value is the backbone of our success. And now, I’ll turn it over to Greg to cover the financial results.
Greg Matz: Thanks, Bob, and good afternoon, everyone. Bob provided an overall summary of our performance, including a review of the market and our revenue picture. So let me start with gross margins. Looking at gross margins, in Q3 the consolidated GAAP and non-GAAP gross margins were 59.1% and 62.4%, respectively, compared with 64.9% for GAAP and 65% non-GAAP in the prior year. The primary difference between GAAP and non-GAAP is related to product and equipment rationalization due to Sauflon acquisition and facility start-up costs directly attributable to our two new manufacturing facilities located in Costa Rica and the UK. Both of these facilities will be initially dedicated to our expansion of daily silicone manufacturing. The year-over-year decline in non-GAAP gross margins was driven by a significant negative FX impact to revenues, slightly offset by some favorable FX impact to cost of goods sold and product mix, led by Biofinity. CooperVision on a GAAP and a non-GAAP basis reported gross margins of 57.9% and 61.8%, respectively, versus 64.8% for GAAP and non-GAAP in Q3 of last year. The difference between GAAP and non-GAAP is largely related to product and equipment rationalization from a Sauflon acquisition and the facility start-up costs mentioned earlier. The year-over-year decline in non-GAAP gross margin was due primarily to FX, partially offset by product mix, led by Biofinity. CooperSurgical had GAAP and non-GAAP gross margins of 65.2% and 65.4%, respectively, which compares to Q3 2014 of 65.3% and 65.8% GAAP and non-GAAP, respectively. The difference between GAAP and non-GAAP relates to approximately a $160,000 of restructuring costs, the year-over-year decline in non-GAAP margin is mainly due to product mix. Now, looking at operating expenses, SG&A, on a GAAP basis, SG&A expenses increased by 19% from the prior year to $191.8 million, or approximately 42% of revenue, up from 37% in the prior year. On a non-GAAP basis, SG&A increased approximately 6% to $165.7 million, or 36% of revenue in line with the prior year. The difference between GAAP and non-GAAP was comprised of $17 million legal settlement with J&J and $9.1 million in charges largely related to integration of restructuring costs for the Sauflon acquisition. Now, looking at R&D. In Q3, R&D on a GAAP and a non-GAAP basis was $18.3 million and $16.4 million, respectively. The main difference between GAAP and non-GAAP was related to assets written off related to the Sauflon acquisition. On a non-GAAP basis, R&D was 3.5% of revenue, down from 3.7% in the prior year. Now, looking at depreciation and amortization. In Q3, depreciation was $41.4 million, up $15.7 million year-over-year, which includes $10.8 million of accelerated depreciation related to the Sauflon acquisition, not included in our non-GAAP numbers. And amortization was $12.5 million, up approximately $5.7 million, primarily due again to Sauflon acquisition. Moving to operating margins, for Q3 consolidated GAAP operating income and margin were $50.3 million and 10.9% of revenue versus $96.6 million and 22.3% revenue in Q3 last year. This drop was primarily due to integration related costs and increased amortization from the Sauflon acquisition, manufacturing facility startup costs, a J&J legal settlement, as well the negative impact of currency. Non-GAAP operating income and margin were $106.1 million and 23% of revenue versus $108.5 million and 25.1% of revenue for the prior year. The reduction in operating income and margin were driven by the reduction in gross margin, largely from the impact currency and the top line. In Q3, CooperVision had GAAP operating income and margin of $46.4 million and 12% of revenue versus the prior year Q3 of $88.4 million and 25.3% of revenue. On a non-GAAP basis, operating income and margin were $97.7 million and 25.3% of revenue versus $97 million and 27.7% of revenue in the prior year. CooperSurgical had GAAP operating income and margin of $15 million and 9.7% of revenue versus the prior year of $18.4 million and 22.3% of revenue. Non-GAAP operating income and margin were $19.5 million and 25.6% of revenue versus Q3 2014 of $22.4 million in operating income, a 27.1% of revenue. Primary reason for the year-over-year decline in operating income is due to the reduction in revenue. Now, looking at interest expense, the interest expense was $4.7 million for the quarter, up $3.2 million year-over-year primarily due to the acquisition of Sauflon and a higher interest rates on our bank pricing grid. Included in Q3 2015 in the other expense category is approximately $1.8 million of FX losses. These FX losses for the quarter were associated with our intercompany loans, some of which are in restricted currencies which are difficult and expensive to hedge. Now, looking at the effective tax rate, in Q3, the GAAP and non-GAAP effective tax rates were negative 1.4%, and a positive 3.1%, respectively versus Q3 2014 GAAP effective tax rate of 6.1% and non-GAAP effective tax rate of 7.3%. As we’ve mentioned before, the effective tax rate continues to be below the U.S. statutory rate, as the majority of our income is earned in foreign jurisdictions with lower tax rates. The current quarter reduction in the ETR is largely due to the higher amount of dollar or higher dollar amount of Q3 discrete items related to the prior years, which were reversed in this quarter. With respect to Sauflon, we’ve made significant progress incorporating them into our global trade arrangement. We anticipate being substantially complete by the end of the fiscal year. Looking at earnings per share, our Q3 earnings per share on a GAAP and non-GAAP basis was $0.91 and $1.97 respectively versus $1.80 and $2 for GAAP and non-GAAP in the prior year. Net currency impact on earnings per share year-over-year for Q3 was unfavorable by $0.54. Due to differences in rates and mix from our Q2 earnings call, Q3 was negatively impacted by an additional $0.06, of which $0.03 is on the intercompany balances I mentioned earlier, which is in the other expense line. One thing to point out is that we always highlight the euro and the yen and pound, which may at times overshadow the FX pressure that comes from many other currencies that influence our results. As an example, when we look at the changes in rates from our June guidance to now, we see negative movements in most of our other currencies like the Aussie dollar down 10% and the ruble down 18%. Looking at balance sheet and liquidity, in Q3 we had cash provided by operations of $96 million less capital expenditures of $66.4 million, resulting in $29.6 million of free cash flow. Excluding integration costs of $12.9 million and litigation settlement costs of $17 million, adjusted free cash flow was $59.5 million. Total debt decreased within the quarter by $39.8 million to $1.308 billion. Inventories increased approximately $3.5 million to $406 million from last quarter, due to an increase in daily lenses. For the quarter, we are seeing months on hand at 6.5 months, seven months on hand adjusted for inventory and equipment rationalization charges and facility start-up costs, consistent with seven-month last year and down from 7.6 adjusted months on hand last quarter. Days sales outstanding is at 55 days, which is down from 56 days in the prior quarter, and up from 53 days last year. We mentioned the J&J legal settlement today, so let me provide a little context. In July, CooperVision made a one-time lump sum payment to J&J of $17 million to settle their existing patent disputes and agree on a combination of cross-licenses and reciprocal covenants not to sue on current core products, including all silicone hydrogel lenses. This settlement was worldwide in scope with no royalty obligation for either party. Neither party admitted any liability as part of the settlement. Now, turning to guidance. In order to provide a little more color for your models, I will share some additional specifics on our Q4 and fiscal 2015 non-GAAP guidance. For clariti, I will start with Q4 guidance, and then share what will – that will look like on a full-year basis. Regarding foreign exchange, the rates for our main currencies we are using are 1.12 for the euro, 121 for the yen, and 1.54 for the pound. We’re expecting an additional unfavorable $0.02 impact in Q4 to EPS. The negative FX impact to EPS for the year is now forecasted to be $1.76, and the impact to revenue is expected to be $154 million. For the fourth quarter, the revenue range for the company is $467 million to $484 million, or 10% constant currency growth at the midpoint. CooperVision’s revenue range is $385 million to $400 million, a 11% constant currency growth at the midpoint. CSI’s revenue range is $82 million to $84 million, 4% constant currency growth at the midpoint, which includes $5 million of revenue from Reprogenetics. We expect non-GAAP gross margin to be around 64% for the quarter. OpEx is expected to be around 39%. Operating margin is expected to be around 25%. Interest expense is expected to be around $5 million. Our Q4 effective tax rate is expected to be between 7% and 8%. Our expected share count will be around 49.2 million shares, and our non-GAAP EPS is expected to be in the range of $2.07 to $2.17, or a growth of 22% to 27% on a constant currency basis. Looking at the full-year, the revenue range for the company is $1.808 billion to $1.825 billion, or 6% pro forma growth at the midpoint. CooperVision’s revenue range is $1.499 billion to $1.514 billion, 7.5% pro forma growth at the midpoint. CSI’s revenue range is $309 million to $311 million, down 1% in constant currency at the midpoint. We expect non-GAAP gross margin to be around 63.5% for the year. OpEx is expected to be around 40%. Operating margin is expected to be around 23%. Interest expense is expected to be around $18 million. Our effective tax rate is expected to be around 7.5%. Our share count is expected to be roughly 49.2 million shares for the year, and our non-GAAP EPS is now expected to be in the range of $7.51 to $7.61, or 27% to 29% constant currency growth. Finally, we expect both capital expenditures and adjusted free cash flow for the year to be north of $200 million. With that, let me turn it back to Kim for the Q&A session.
Kim Duncan: Operator, we’re ready to take some questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Larry Keusch of Raymond James. Your line is open.
Lawrence Keusch: Hello, thanks very much. Bob, I was wondering if you could again help us understand really what changed with the initial outlook for $175 million in single-use silicone hydrogel sales to the new range of $150 million to $155 million.
Robert Weiss: Yes, Larry. I think the biggest change is clearly the U.S. ramp up and the fact that when we look at the growth how we’re doing with clariti and with MyDay this last quarter, that’s up over 50%, so we’re putting up robust numbers. Since so much of the ramp up were right on a more robust U.S. market, the U.S. market is clearly the soft-spot, more so in what’s going out the door from manufacturer to the supply line than it is on on-eye. When we look at the on-eye data, there is a good market, a healthy market. When we look at the pipeline, in this case, it’s the efficiency of the authorized distributors that is actually flat in a market that is for us growing quite robustly. So that disconnect of the fact that we’re not, and we had anticipated building up a pipeline - as you may recall in the last call, I mentioned that we expected a pretty robust expansion of the pipeline for Cooper given our new product rollouts. We don’t see that right now and so I will emphasize it’s heavily the U.S. and heavily the pipeline. And quite frankly, we’re happy with the growth of this product portfolio. So it is performing well.
Operator: Thank you. Our next question comes from Matt O’Brien of Piper Jaffray. Your line is open.
JP McKim: Hi, good afternoon, everyone. This is actually JP in for Matt. Thanks for taking the questions. I want to touch on – you gave a little color on 2016 EPS guidance, and just given kind of that demand profile you gave for Q4 this year, can you talk about what gives you the confidence that maybe the demand in the U.S. will come back to meet those numbers?
Robert Weiss: Yes, we’re anticipating that 2016 will be a more robust U.S. market manufacturer out the door. I think we’re all keenly aware of the numbers that Alcon put up and J&J put up as far as their public reporting. But the delink as I mentioned is not so much, is the market good on-eye, not so much is the market great in terms of the conversion from a two-week modality to a one-day modality. That’s all going very nicely. There’s only so much more efficiency authorized distributors the middleman can get. There’s no logical reason, given the fact that we had a very shrunken pipeline a year ago for Cooper in October a year ago, it contracted down to a very efficient level. With the new product rollouts you expect that to grow. And so, we are confident that there’ll be to some degree a bounce as we roll out new products, getting product into the distributor to see the demand in the marketplace. So we’re not at all toning down our expectation for the market pull-through growth. If anything, some of the moves by one of our competitors that are moving into – from a two-week into a one-day silicone hydrogel modality with another product, will only add to that shift from the two-week modality which doesn’t pay – it doesn’t pay a lot of money. So, if we think about the market, it’s $2.6 billion at the manufacturers’ level in the U.S. You got, let’s say, $35 million soft contact lens, whereas carving out the hard is not generating a lot of revenue. And so they are only generating on average $75 a patient. That shift to the one-day modality, as it continues to accelerate is still a 400% to 600% shift, and the two-week wearer is still is the bulk of the wearers in terms of numbers. They don’t generate – they just don’t generate a real lot of revenue. So we’re enthusiastic that all the manufacturing momentum is pushing the market that way. The underlying dynamics are pushing the market that way and feeling good about it.
Operator: Thank you. Our next question comes from Matt Mishan of KeyBanc. Your line is open.
Matthew Mishan: Thank you very much for taking my questions. Given some of the slowness in the ramp of clariti a little bit, or the slowdown in the ramp of your expectations, do you think that going into next year that SG&A and marketing expenses are going to be maybe a little bit higher than you would have thought with the full MyDay and clariti roll out next year?
Robert Weiss: No, I really don’t expect any real change on that. I really think the – it’s really the push-pull with the distributors in the middle that will bring about some growth and expansion. But the on-eye activity, we’ve shifted our energy already from getting the fitting sets out there, which consumed a lot of energy in the first-half of this year to now sell-through, meaning, really converting the market into the silicone hydrogel one day modality. So we don’t need any special emphasis on that point. We have the product availability, because the ramp-up on the manufacturing side has been extremely robust. So we’re good on that front, and it’s now really execution in the field, and we do think the market is prime for them.
Operator: Thank you. Our next question comes from Chris Pasquale of JPMorgan. Your line is open.
Christpher Pasquale: Thanks. Just two questions, I want to try and understand the market issues and the guidance a little there. First, UPP has been out for more than a year and, Bob, you talked about the fact that distributor inventory levels have been trending down for some time, and we’re already at what we saw we’re pretty low levels. So what’s causing the negative inflection there and what gives you confidence that that’s [recover that you had] [ph] visibility to be able to tell it is going to recover? And then specifically on the daily silicone hydrogel guidance, you’re bringing it down by about 14% for the year, it seems pretty large revision. Can you just talk about what you thought you were going to be seeing in the fourth quarter, you already given this very back-end loaded outlook for the year. What do you think [indiscernible] now that you’ re saying is not and is that a delay into next year, or do you think it doesn’t materialize at all? Thank you.
Greg Matz: Yes. I think I got most of that. You were cutting out. But you’re correct, UPP will anniversary moving into the third calendar quarter. So it’s a year ago now that the robust roll out of UPP occurred for the most part. And most notably, the market share leader going very deep with UPP, all the other manufacturers going with new products only following the concept, your UPP is about promoting new products to the practitioner, where they have to invest a lot of time in the conversion in that. So on the one front from a market perspective, that step down that occurred with UPP is going to anniversary, and therefore, we’ll have better year-over-year comps as the market goes. Relative to the middleman, the authorized distributors, we know there was consolidation leading to efficiency and we know that the manufacturers were doing a better job coordinating with the authorized distributors in terms of creating efficiency. An example of that would be more direct shipments from the manufacturers to the eye care professionals when it comes to torics which are hard to inventory because of the large number of SKUs. So the distribution channel is more efficient. I would conjecture, it can’t get much more efficient than it is now. So I think that will have flushed out and that’s been leading to some suppression of the growth from a manufacturer point of view out the door the last two years, ever since the big consolidation took place, if you will. So I’m pretty bullish about that. Relative to visibility, we always said there would be in that $175 million objective for silicone hydrogel, a good chunk of pipeline fill in the fourth quarter. And we’re just not assuming that is going to occur anywhere close to where we thought. So it wasn’t so much an on-eye demand as it was. If you’re creating a lot of demand in the marketplace you’re going to want to backfill that, so that your authorized distributors are not going on backorder on a product you’re just creating demand on. I think that is a pretty efficient system now, and part of it really is the efficiency of the torics, because we are the one company that has a multifocal toric and a sphere in the silicone hydrogel modality. So we basically have cut back assumptions on how massive of a pipeline fill you need for that part. Relative to next year’s outlook, we’re feeling good about the supply chain of products available and the reception of on-eye in the market, and therefore still quite bullish about top line growth into 2016 and beyond.
Operator: Thank you. Our next question comes from Joanne Wuensch of BMO Capital Markets. Your line is open.
Joanne Wuensch: Hi, good afternoon. Can you hear me okay?
Robert Weiss: Yes, Joanne, I can.
Joanne Wuensch: Terrific. If I heard you correctly, you gave some commentary for EPS next year, but no commentary for revenue. And it seems like most of the questions this evening are related towards revenue. How do we get from the current growth rate towards like higher one over the next couple of quarters? And…
Robert Weiss: So – oh, I’m sorry, go ahead, Joanne.
Joanne Wuensch: Sorry. And what is a proper rate range would be for next year?
Robert Weiss: Well, we’re not going to – for a number of reasons, one of which is volatility, currency, we’re not going to get into clariti until we get through our budgeting process which we’re in the middle of and we will shed light on that in December. But we’re not going to at this juncture. Suffice to say, we still believe we will continue to gain market share and you can see the numbers we put up against the marketplace. And we’re feeling good about solid top line. We’re just not ready to give a range of what to expect on the top line next year.
Operator: Thank you. Our next question comes from Brian Weinstein of William Blair. Your line is open.
Brian Weinstein: Hey, guys, thanks for taking the question. Last quarter, you guys took down total revenue guidance, but I think it was $40 million or $44 million or something like that. Part of it was a little of a miss in Q2. But then also you guys had cited issues with the solutions business being down a little bit more than expected and a little bit faster slowdown in some of your legacy products. I didn’t hear you really mention those types of things on this call. So is kind of the takedown in guidance exclusively related to the U.S. issues that you have been talking about or are we still seeing some of those older legacy products decline faster than expected and what’s going on with the solutions business. Thanks.
Robert Weiss: Yes, the solutions business was surprisingly benign for the quarter, meaning down slightly, but much less than the marketplace. So our guidance – our further guidance down has nothing to do with legacy and solutions. It really is going from the $175 million down to that $152 to $157 million range.
Operator: Thank you. Our next question comes from Larry Biegelsen of Wells Fargo. Your line is open.
Larry Biegelsen: Hey, good afternoon, guys. Thanks for taking the question. Hey, Bob, we’ve gotten very, very positive feedback on MyDay, but we’ve gotten mixed feedback on clariti’s comfort. Is that something that could be improved? And then, on the manufacturing changes in 2016, maybe it wasn’t clear to me, but will those costs be taken out of non-GAAP earnings, and if not how should we think about gross margins in 2016? Thanks.
Robert Weiss: On the positive feedback on MyDay and the clariti, mixed clariti feedback question, MyDay is very early in the game in the U.S. and certainly it performed well as a premium product outside the U.S. It is clearly in a league that is targeting TruEye and Total 1, and that is a different league, it’s great – it’s a great product. And I would say a lot of the people probably going into MyDay are getting there from TruEye. And, therefore, it’s silicone hydrogel to silicone hydrogel. The history of conversion to silicone hydrogel lenses has not been a rocket ship. It’s been kind of stair step. Some of you may recall when OASYS and Acuvue Advance came out in the – about 2007, 2008 timeframe, there was an attempt to totally shift the patient from the Acuvue to lens to a silicone hydrogel and a lot of patients reacted negatively. They basically said, I can still feel the rigidity of a silicone hydrogel lens, put me back in my hydrogel lenses. And that’s actually one of the reasons even today in the FRP and the plant replacement modality, it is only 77% silicone hydrogel, which translates probably a more like 70% wearers and 30% of the – because there’s a premium that you pay for that. So toning and affecting for that premium, about 30% of the people are still staying in their hydrogel lenses, because they’re not as rigid. The same thing is going on with clariti to some degree, where we’re going after moist. Moist is not a silicone hydrogel, and therefore you’re going to have some patients that are going to go from moist to clarity, or any other silicone hydrogel and say, I can feel it, it’s more rigid than what I’m used to. And some people are not going to give it the chance and some people will adapt to it. But it’s what – every eye is different. Every patient is going to be a different battle on that conversion front, if you will. On the manufacturing startup costs, the intent is, there are a number of moving parts in manufacturing going on right now and into next year. We have two new plant startups that will be ramping up in Costa Rica and in Speedwell in the UK. There will be some call out of those startup costs that will be specifically called out as part of restructuring of manufacturing activity. On the negative front relative to what’s in the ongoing reported cost of goods, when we transition from a one plant only model, let’s say, in Hungary to, or in Budapest to a new startup in Costa Rica. Even though labor costs will be lower in Costa Rica and certainly much lower than our other plants in Puerto Rico and UK and Rochester. So, ultimately, there will be a huge advantage. Short-term, it’s negative, because you are ramping up without having the full critical mass, and there will be some drag on cost of goods and gross margins in 2015, 2017, and probably all the way into 2018 until you have a robust plant in Costa Rica. Speedwell in the UK is less problematic, because that’s kind of a one product, smaller model, if you will that comes into play. But some of them will be called out that the new plant startup, some of them will not, it will be in the cost of goods a blended gross margin.
Operator: Thank you. Our next question comes from Steve Willoughby of Cleveland Research. Your line is open.
Steve Willoughby: Thanks for taking my question, guys. I kind of have a three-part question and then a separate question. So I will just ask them all at once, if you don’t mind. The three that are kind of related, Bob, you talked about the inventory reductions in the channel and things, and I think this might be like the fourth year in a row we talked about inventory is coming down, and I think even at one point you talked about how they couldn’t contractually go any lower. So, I guess, the first part of it is, have inventories gone and the channel gone even lower. And then the second part of that is, you talked about distributors and retailers not really taking on inventory here in the third quarter, I would say you’re guiding down a bit for the fourth quarter, so you – are you not expecting distributors and retailers to take on inventory, and if that’s the case, why are you now not expecting them to take on inventory. And then, my separate question is just, what are your thoughts on the new daily product from J&J coming into the market here soon? Thank you.
Robert Weiss: All right, the first one on the inventory reductions, you are quite right that that we talked about for the third year in a row, in October last year, inventory reduction with the authorized distributor relative to Cooper. The inventory reductions we’re talking about now is – there have been some of our competitors that have talked about their pipeline inventory reductions. With Cooper we’re not saying they reduced inventory. It’s already at a very efficient level. We’re saying, we were guiding to an expansion of the inventory held by authorized distributors for new product rollouts like clariti and like MyDay, and that is just not happening. And we’re – given the efficiency of the authorized distributors, we are not expecting it to happen anywhere to the same degree that we once anticipated. Part of that is the efficiency as I pointed out of getting toric lenses to the patients where – or to the eye care professional, where much of it is going around the authorized distributor. They like carrying spheres. It’s very easy, limited SKUs, multifocal limited SKUs. Toric is a pain in the neck. So we have come up and workaround to make the system as efficient as it possibly could be. On the authorized distributors, retailers in the fourth quarter, we’re basically saying we’ve toned down the pipeline feel for the new product rollouts, and part of it for efficiency and part of it is just how tight authorized distributors are managing it. As far as the new J&J product that is coming out in the one-day modality, which is OASYS, it’s one-day. If I were J&J, I would do exactly the same thing. They’re basically trying to trade out TruEye or this is conjecture, because I’m not sure they formally announced, but the conjecture out there is just going to come out, go into the premium modality with a sphere and basically trade out the TruEye product which has not done well in the U.S. market with several missteps. If I were them, I would do that. The negative of it is it’s clearly that it could accelerate two things. One is people leaving the non-silicone hydrogel bucket and then going in play. But more importantly people transitioning from the two-week modality owned pretty much by J&J. They have well north of 70% or almost 80% share of that two-week wearer base and they’ll be putting those in play and we’ll take our chances on that. So I love that.
Operator: Thank you. [Operator Instructions] Our next question comes from Jon Block of Stifel. Your line is open.
Jonathan Block: Great. Thanks. And I will see if I can also just try to maybe ask a question and a half. The first one, Bob, if you try to isolate the on-eye data in the U.S., again on-eye, what do you think the trend line of your market share gains are there? I guess, I’m just trying to tease out, do you think J&J’s aggressive pursuit of UPP, and B&L are gaining back of some of the share in the U.S. again on-eye? And then, second question, just shifting gears, can you just talk to the additional manufacturing capacity that you expect to come online for MyDay in fiscal 2016 relative to 2015? And is MyDay still teed up for Japan approval next year? Thanks, guys.
Robert Weiss: All right, I think I got that all. The on-eye data for Cooper is – we have to look at it in two pieces. The independents, where there is kind of a battleground that J&J has basically invited themselves into very vocally with their UPP policy. And then, the all other, the retailer half, the retailers –there is a very clear divide. Retailers do not like UPP and independents love UPP. It’s as black and white as a Republican and a Democrat, I guess. Maybe, that is a poor example, because maybe it is not black and white. But they’re on one line or the other clearly in the way they view the world. So it’s hard to walk the tightrope. Cooper, our loyalty is pretty black and white also. We’re loyal to the eye care professional who writes prescriptions, and we’re not at all loyal to those that do not write prescriptions. That’s where we draw the line. And we think there are better ways than UPP to show your loyalty to the eye care professionals be it independent, or be it working in a retail setting. And when it comes to where is J&J doing well, they are doing better with independents, no doubt. One would say they’re probably doing horrendous in some areas with the certain retailers. And so the overall numbers don’t look very good, and we’ll see what happens, as they annualize the UPP decision that they made on their full product line a year ago. Relative to the ramp up of MyDay, it’s going to be pretty robust on two fronts, both our continued expansion in Puerto Rico and our new facility called Speedwell in the UK, which is dedicated to MyDay. So throughout 2016, really much more the back-half, we will be coming online with a pretty robust amount of ramp up. Will we catch up with demand in 2016, probably not. The third piece you asked about is Japan and so far so good in terms of our expectation for MyDay into Japan in by the end of 2016.
Operator: Thank you. Our next question comes from Jeff Johnson of Robert W. Baird. Your line is open.
Jeff Johnson: Thank you. Good evening, guys. Just a couple of questions here. Let me just ask them all and we’ll go from there. So, Bob, I know you’ve not given guidance for next year on the top line, but with the OASYS daily coming out with the market a little punky here, Bob, it should maybe a get a little bit healthier under value, and although that’s I guess a question that is fully answered. Where do you think the CVI versus the market – CooperVision versus the market could go over the next 12 or 18 months? That’s question number one. And then, Greg, two clarifying questions. You mentioned in the gross margin for CVI FX and mix, the offsetting impact of those two. But what was the impact of kind of the timing when you closed down those December facilities. If memory serves that usually weighs down gross margin this quarter a bit as well? And did I hear you correctly the gross margin on clariti exiting 2016 could be accretive to CVI at a companywide whichever you said, that would imply north of 63%, I think, when you acquire that line, it was in the low to mid 50s, I just want to make sure I heard that correctly? Thank you.
Robert Weiss: Okay. Well, I’ll do these and then Greg can fill out what I don’t cover in the gross profit. In terms of top line and how we feel about it relative to the new products coming out be it the OASYS daily or the various other products being talked about in the activity of B&L and others. We’re feeling a lot of that we liked to move. We like the emphasis of stirring up the pot in the two-week modality and seeing where they end up. Some will go to monthly, and many will go to one day. So the shift to one day looks as exciting as ever and we like our product portfolio as much as ever. So we kind of love the direction of that, I would expect a more robust market in the U.S. in 2016 and 2015, 2015 I would describe as pretty anemic for the two reasons we talked about the authorized distributors and the UPP, in fact. But that does annualize and who knows how long UPP will be around to throw stones at, I guess. As far as the gross margins, you did hear me correct about clariti that clariti will be a contributor to our gross margin story, meaning, a net plus to the midpoint and the back-half of next year, so all has done very well with the ramp up. I did hedge a little by saying, as we ramp up Costa Rica that puts a short-term drag in the fact that you don’t have critical mass in that ramp-up mode for couple of years. But the rest of the mass production is doing so well. We’re pretty bullish on the composite part. Relative to the timing and implications of the shutdown, you’re right, it was a shutdown that we do as a – for plant maintenance, is the end of December early January. So that has a ripple effect. Although we flatten it a little it still kind of ripples into the third quarter historically. And foreign exchange impact on our gross margin is a whopping number. It’s like 200 basis points. So were it not for foreign exchange we would be doing cartwheels on our gross margin story and that will be accolades to our production guys on just how well they have improved cost and efficiency in spite of a shift in the one-day mix. So they’re hurtling, basically hurtling that which is a pretty extraordinary story, all lost in the world of foreign-exchange unfortunately. Greg, anything you want to add to it?
Greg Matz: No, I think, Bob, you covered it. I think the mix aspect of the manufacturing variance as I had kind of combined in that mix. And so what you saw is – definitely the strong part of it was FX, as Bob mentioned. You got a little bit of offset because the cost of goods sold, FX was positive. And then, you had the manufacturing variances in Biofinity leading from a product mix standpoint, helping to offset that FX. FX was huge for the quarter.
Operator: Thank you. Our next question comes from Steven Lichtman of Oppenheimer. Your line is open.
Steven Lichtman: Thank you. Hi, guys. I just want to add on the CSI side, the slightly slower growth you saw in office and surgical this quarter versus last, do you sense it’s more of the negativity around the broader market, maybe getting worse or is it more company specific? And if it’s the latter, what are some of the general changes you’d like to see looking ahead?
Robert Weiss: Well, clearly, I’m a firm believer that we’re actually doing well with the broader market. The broader market is bumping right now and it’s so surrounded by a lot of litigation dealing with all those issues in mesh and slings and morcellators. And you can’t pick up a paper today without seeing some legal advertisement in that arena. So it’s slowed up the market. You have a lot of gun-shy gynecologists out there. And that ripples into some of our products that are used tangentially with some of those procedures. So I think our product portfolio is good for the mainstay of things like doing hysterectomies and minimal invasive surgery in general. We have a concerted effort of refreshing the product portfolio, which is for the most part very mature. And so, products like Endosee, that handheld hysteroscope, and now Reprogenetics not much on the part you’re on. This is more on the IVS’ part, but we are making a concerted effort within all CooperSurgical to add some muscle to it in terms of organic growth potential. And Al’s role clearly is going to be a catalyst in that area where our intention is. We’ve been a little slow at M&A activity, perhaps on average over the last two, three years, is to kind of move that process along. And we think there are opportunities out there that we’re at least going to kick the tires pretty heavily on.
Operator: Thank you. I’m showing no further questions. I would like to turn the call back over to Bob Weiss for closing remarks.
Robert Weiss: Well, I want to thank you for joining us on this call. And we’re, as you can tell, excited about the rollout of our products and opportunities – and very excited about the outlook for 2016. Perhaps, I didn’t say clear enough, but targeting growth mid-teens – low-teens to mid-teens next year, coming off of a 27% to 29% growth is pretty stellar. We are proud about that and we’re really down about the fact that it still got massed by foreign exchange, but we also know we’re not the only company on the planet that’s being hammered by that or not the only company in the United States being hammered by that. I know there are some companies in Europe probably looking stellar over the same thing. But anyway, we look forward to updating to you on the story as we get into our year-end numbers in December. And I think our next session will be on December 3. So we look forward to updating you at that time. You okay? Thank you for participation.